Operator: Greetings, and welcome to the Park Hotels & Resorts Second Quarter 2025 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Ian Weissman, Senior Vice President of Corporate Communications. Thank you. You may begin.
Ian C. Weissman: Thank you, operator, and welcome, everyone, to the Park Hotels & Resorts Second Quarter 2025 Earnings Call. Before we begin, I would like to remind everyone that many of the comments made today are considered forward-looking statements under federal securities laws. As described in our filings with the SEC, these statements are subject to numerous risks and uncertainties that could cause future results to differ from those expressed, and we are not obligated to publicly update or revise these forward-looking statements. Actual future performance, outcomes and results may differ materially from those expressed in forward- looking statements. Please refer to the documents filed by Park with the SEC, specifically the most recent reports on Forms 10-K and 10-Q, which identify important risk factors that could cause actual results to differ from those contained in the forward-looking statements. In addition, on today's call, we will discuss certain non-GAAP financial information such as FFO and adjusted EBITDA. You can find this information together with reconciliations to the most directly comparable GAAP financial measure in yesterday's earnings release as well as in our 8-K filed with the SEC and the supplemental financial information available on our website at pkhotelsandresorts.com. Additionally, unless otherwise stated, all operating results will be presented on a comparable hotel basis. This morning, Tom Baltimore, our Chairman and Chief Executive Officer, will provide a review of Park's second quarter performance and strategic initiatives as well as provide an update to our 2025 outlook. Sean Dell'Orto, our Chief Financial Officer, will provide additional color on second quarter results, an update on our balance sheet and 2025 guidance. Following our prepared remarks, we will open the call for questions. With that, I would like to turn the call over to Tom.
Thomas Jeremiah Baltimore: Thank you, Ian, and welcome, everyone. Overall, I was very encouraged by our second quarter results, driven by continued outperformance from recently completed ROI projects, disciplined cost controls across the portfolio and steady progress on our strategic initiatives. Q2 RevPAR was relatively flat year-over-year when excluding the Royal Palms South Beach in Miami, which suspended operations in mid-May for a transformative renovation and repositioning. Performance was led by strength in several of our resort markets, including Orlando, Key West and Puerto Rico as well as continued improvement in business travel, which drove solid results in urban markets such as New York, San Francisco, Denver and Boston. An aggressive asset management strategy is 1 of our 3 guiding principles, and I am incredibly proud of the efforts by our team and our operating partners to drive effective expense controls across our portfolio, resulting in total expense growth of just 40 basis points for the quarter or just 1% when excluding Royal Palm South Beach, marking the second consecutive quarter in which expenses grew by approximately 1% or less. Looking ahead to the remainder of the year, we expect continued low expense growth, driven by cost savings identified through our deep dive analysis and the cost structures in the first half of the year, in addition to the benefits of a sector-leading 25% reduction in property insurance premiums, which will result in an incremental $5 million in savings through year-end. From a capital allocation standpoint, we made meaningful progress toward our goal of $300 million to $400 million in noncore dispositions with the sale of the Hyatt Centric Fisherman's Wharf for $80 million at an impressive multiple of 64x 2024 EBITDA, demonstrating the underlying real estate value supported in the private markets. While the transaction market remains challenging, we are actively engaged in discussions with potential buyers for several noncore assets, and we remain laser-focused on achieving our target by year-end. As a reminder, our strategic initiative to dispose of our remaining 18 noncore hotels is expected to meaningfully enhance the overall quality and long-term growth profile of the company. In line with our strategic priorities, we made the decision to close the 266 room Embassy Suites Kansas City Plaza Hotel by the end of September as the asset is projected to achieve just $73 in 2025 RevPAR and generate very little EBITDA. In connection with the hotel closure, we recently agreed to an early termination of the hotel ground lease, which was set to expire in January 2026. We also made the decision to exit 2 additional noncore hotels, the DoubleTree Seattle Airport and DoubleTree Sonoma, both of which are subject to a ground lease that will terminate at the end of this year, at which time the properties will revert to the landlord. Removal of these assets will materially enhance the quality of our portfolio, increasing nominal RevPAR by over $5 and margins by nearly 70 basis points, and bring us closer to our core portfolio of 20 consolidated hotels, which represents approximately 90% of the value of our portfolio. This core portfolio remains among the highest quality in the sector, with an average RevPAR of nearly $215 and EBITDA per key exceeding $40,000 based on 2024 performance adjusted for last year's strike disruption. Looking ahead, we expect the core portfolio to outperform the forecasted U.S. average RevPAR growth in the coming years. With respect to capital investments, during the second quarter, we commenced the comprehensive renovation project at our Royal Palm South Beach Resort, which we expect will generate returns of 15% to 20% on our $103 million investment, with the hotel's EBITDA expected to double to nearly $28 million once stabilized. Our in-house design and construction team is working diligently to ensure the hotel opens in Q2 of next year, ahead of the 2026 World Cup, during which Miami is scheduled to host 7 matches in June and July. Additionally, we expect to launch the final phases of room renovation projects for 2 of our rooms towers in Hawaii this month at Hilton Hawaiian Village. The second and final phase will encompass a full renovation of the remaining 404 guestrooms in the iconic Rainbow Tower and the addition of 14 new guest rooms with a total investment of $48 million. At the Hilton Waikoloa Village, this $36 million phase will fully renovate the remaining 203 guestrooms in the Palace Tower and add 8 new guestrooms. We expect both projects to be completed in early Q1 of next year. Finally, at the Hilton New Orleans Riverside, we are currently underway with the second phase of a 3-phase renovation project, investing $31 million to upgrade an additional 428 guestrooms in the main tower, while the remaining 489 guestrooms of the 1,167 room tower are scheduled for renovation in 2026. I'm very excited about the investments we've made in our core portfolio as we continue to enhance asset quality and strategically allocate capital to maximize long-term shareholder value. We are confident that reinvesting in our portfolio is the highest and best use of our capital, positioning us for sustained growth and outperformance. Since 2018, Park will have invested more than $1.4 billion in our core 20 consolidated hotels through 2025, upgrading nearly 8,000 guestrooms and fully repositioning several of our most iconic hotels. Turning to operations. We witnessed continued strength in Orlando with our Bonnet Creek complex delivering record-setting revenue for the second quarter. RevPAR for the complex exceeded expectations, increasing nearly 12% year-over-year, with strong transient demand driven by a surge in advance purchase activity and enhanced commercial strategies. The Waldorf Astoria was particularly strong, reporting a 24% increase in RevPAR year-over-year as demand improved for both group and transient segments, each posting approximately 20% growth compared to last year. Notably, this quarter marked the 15th consecutive quarter of year-over-year group revenue outperformance at the complex. I'm also pleased to share that the Waldorf Astoria Orlando was recently recognized in Travel and Leisure's 2025 World's Best Awards as the Fourth Best Resort in Florida and the top-ranked resort within the Orlando market. Looking ahead, both transient and group demand remained strong at the complex, which is expected to deliver high single-digit RevPAR growth throughout the remainder of the year. Overall results at the Bonnet Creek complex have exceeded our underwriting expectations, with 2025 EBITDA now forecasted to be well over $90 million and nearly 40% above prior peak, further validating our strategy to invest in our core assets. Turning to Key West, our Casa Marina resort reported a nearly 4% year-over-year increase in RevPAR during the quarter, with transient occupancy increasing by over 20% as the hotel continues its position as one of Key West's premier hotels. Food and beverage outlet and ancillary revenue outperformed last year by 8% during the quarter, resulting from the increased transient volume and the newly added El Dorado restaurant that opened in Q3 of 2024. Notably, total food and beverage revenue for our Key West hotels reached a new Q2 record. Looking ahead to the second half of the year, we expect continued strong performance at both hotels, driven by sustained transient room demand and food and beverage activity with total RevPAR projected to grow high single digits over last year. In Puerto Rico, strong leisure and business transient demand drove a nearly 18% increase in RevPAR for the quarter compared to last year. Consistently high occupancy contributed to Caribe Hilton outperforming its comp set and delivering a RevPAR index of 120%, a positive trend we expect to continue, leading to mid- to upper single-digit RevPAR growth expected for the back half of the year. In our urban portfolio, we were particularly pleased with the ongoing strength of business travel during the second quarter, which contributed to solid RevPAR growth in New York, San Francisco, Denver and Boston. At our JW Marriott Hotel in San Francisco, RevPAR growth exceeded 17%, driven by solid transient and group demand as the city benefited from an increase in convention room nights during the quarter. In New York, our Hilton Midtown hotel delivered a nearly 10% RevPAR increase during the quarter, supported by a 16% increase in group revenue and a more than 11% increase in leisure revenue, both of which helped to drive a nearly 230 basis point increase in RevPAR index during the quarter. In Denver, RevPAR growth at our Hilton Denver hotel exceeded 6% during the quarter, fueled by strong performance across both group and leisure segments. Meanwhile, in Boston, an over 22% increase in leisure revenue contributed to a 5% RevPAR gain at our Hyatt Regency Hotel. Turning to Hawaii. While we continue to face some near-term headwinds, we are encouraged by the sequential improvement we are seeing, especially at our Hilton Hawaiian Village, even as inbound international travel has not fully recovered. Combined RevPAR at our 2 properties declined by approximately 12% during the quarter with Hawaii continuing to be impacted by weaker inbound travel from abroad. With respect to Hilton Hawaiian Village, the resort continues to recover from the Q4 labor strike last year. However, we are encouraged by the hotel's continual improvement in market share, regaining over 1,600 basis points since the beginning of the year and exceeding full share since May. Looking ahead in the near term, we expect the sequential recovery for Hilton Hawaiian Village to continue, evidenced by a strong forecast for July that had occupancy over 90% and RevPAR index above pre-strike levels. However, this momentum is expected to be offset by Hilton Waikoloa's weakest quarter of the year, producing a combined RevPAR decline that is expected to be slightly better than Q2. Beyond Q3, performance in Hawaii is expected to accelerate meaningfully in the fourth quarter as Hilton Hawaiian Village laps the labor strike disruption from last year that drove RevPAR down over 25% in 2024. In addition, combined group pace across our 2 Hawaii resorts is forecasted to increase by nearly 50% which we expect will translate into high teens combined RevPAR growth during Q4. Looking ahead, the long-term outlook for Hawaii remains very favorable, supported by very limited new supply expected through at least 2030 and the anticipated improvement of inbound travel from abroad. In our opinion, Hawaii is one of the most dynamic and resilient resort markets in the country with less supply growth forecasted versus any other U.S. market and with over 3,500 fee simple guestrooms at a huge discount to replacement cost, Park remains well positioned to deliver above-average long-term growth for shareholders. And finally, I am pleased to report that neither of our Hawaii hotels sustained any damage following the 8.8 magnitude earthquake off the Russian coast on Wednesday and subsequent tsunami alerts throughout the Pacific Ocean. With respect to fundamentals over the back half of the year, the outlook remains mixed as the ongoing uncertainty around tariffs, elevated inflation and geopolitical issues are expected to continue weighing on travel demand during the third quarter, while easier comps and improved group travel will help to support strong trends during Q4. Overall, July results have been modestly weaker than expected with preliminary RevPAR declining by approximately 4% when you include the nearly 130 basis points of renovation disruption at the Royal Palm South Beach. Recent trends are persisting with continued strength in Orlando, Key West and New York City, offset by modestly softer-than-expected results in Hawaii and Southern California. Based on our current forecast, Q3 RevPAR is expected to decline by approximately 4% to 5%. Our revised forecast reflects softer-than-anticipated group demand with group pace lower by 380 basis points to down 14%, our weakest quarter of the year, coupled with softer leisure transient demand forecasted for Q3, mainly due to heightened economic uncertainty, reduction in government demand and weaker inbound international visitation. We expect a significant improvement during the fourth quarter with group revenue pace increasing 18%, which when combined with significantly easier year-over-year comparisons, we expect RevPAR growth to reaccelerate to 3% to 5% in the fourth quarter. Overall, the improvement is relatively broad-based with outsized gains expected for Hawaii, Denver, Orlando, Key West, Boston, Seattle and Chicago. Additionally, we remain laser-focused on our strategic objectives of reshaping the portfolio through reinvestments in our iconic portfolio to drive long-term value for shareholders, executing noncore asset dispositions and further strengthening our balance sheet by extending maturities and reducing leverage over time. These priorities keep us focused on what we can control and position us to navigate near-term volatility while building a stronger, more resilient platform for sustainable long-term growth. And with that, I'd like to turn the call over to Sean.
Sean M. Dell'Orto: Thanks, Tom. Q2 RevPAR was largely in line with expectations with reported results of $196, representing a 160 basis point decline over the prior year period. However, excluding our Hilton Hawaiian Village Hotel, which continues to recover from last year's labor strike and the Royal Palm South Beach, which suspended operations in May for a full-scale renovation, year-over-year RevPAR growth would have exceeded 2% as these 2 properties together accounted for a 375 basis point drag on portfolio performance. Total hotel revenues for the quarter were $645 million and hotel adjusted EBITDA was $191 million, resulting in hotel adjusted EBITDA margin of 29.6%. Adjusted EBITDA for the quarter was $183 million and adjusted FFO per share was $0.64, both exceeding expectations. Turning to the balance sheet. We are actively working to address our 2026 debt maturities, including the $1.275 billion CMBS loan on our Hilton Hawaiian Village Resort and the $123 million mortgage loan on our Hyatt Regency Boston Hotel. With our strategic priorities in mind, we remain focused on solutions that offer near-term commitments that maximize optionality and minimize cost, and we're currently in the middle of a process to secure the debt and liquidity sufficient to address the $1.4 billion outstanding and reasonably confident we will complete a transaction in the third quarter. With respect to our dividend, on July 15, we paid our second quarter cash dividend of $0.25 per share and on July 25, we declared a third quarter cash dividend of $0.25 per share to be paid on October 15 to stockholders of record as of September 30. The dividend currently translates to an annualized yield of approximately 9%. Turning to guidance. Given some of the near-term headwinds Tom discussed earlier, we are lowering our full year RevPAR forecast by 150 basis points at the midpoint to a new range of negative 2% to flat growth or essentially flat at the midpoint when excluding the Royal Palm South Beach. With respect to earnings, we are increasing our adjusted EBITDA forecast by $2 million at the midpoint to $620 million within a tightened range of $595 million to $645 million, resulting from the improved outlook for annual expense growth that Tom alluded to earlier, helping to offset the softer top line expectations. As a result, hotel adjusted EBITDA margin range is now 26.1% to 27.5% or an increase of 30 basis points at the midpoint versus our prior guidance range. And finally, adjusted FFO per share increases by $0.01 at the midpoint to $1.95 with a range of $1.82 to $2.08 per share. Finally, I wanted to provide a brief update on the status of the 2 San Francisco hotels, which have been in receivership since October 2023. After a 2-year process, I'm very pleased to report that the receiver has made substantial progress toward the sale of the 2 hotels with the purchase and sale agreement recently signed and closing expected by October 29. This concludes our prepared remarks. We will now open the line for Q&A. Operator, may we have the first question, please?
Operator: [Operator Instructions] Our first question comes from the line of Smedes Rose with Citi.
Smedes Rose: I wanted to ask you a little bit on your -- the guidance bridge. Looking at the first quarter kind of comp, that guidance for hotels versus the second quarter. It looks like the decline in revenues is almost offset kind of 1 for 1 on the expense side, which seemed kind of aggressive. And I'm just wondering if you could sort of talk to that a little bit or maybe the same-store pool is a little bit different for the first quarter versus the second quarter in your guidance? That's my first question.
Sean M. Dell'Orto: Yes. Smedes, this is Sean. I'll address that. I mean, first and foremost, I think one thing that we -- it's not the only -- you're not the only one to ask that question. And I guess when looking at the first quarter guidance relative to second quarter. In between that, we sold Fisherman's Wharf. So there's an adjustment that needs to be made for that. I won't get into all the details there, but you can talk with Ian and Zach on that one. But I think it goes back to what Tom mentioned in his prepared remarks around the cost savings that we produced here. I mean it comes back to his comment around our aggressive asset management being a guiding principle. I think a couple of things happened over the last several months, one in particular from our asset management team side. They work together with our operators, both kind of corporate level and on property, working with them on site over a dozen properties over the last several months, just kind of doing a deep dive looking at revenue strategies, finding ways to increase non-room revenues and ultimately reducing cost across just about every line item you can find in the properties. And so with all that work, which has gone over the last couple of months, I would say we've looked to produce about a $10 million benefit to [ GLP ]. So that's been very productive there, and kudos to all the efforts they've done there for us. And we've got another group of hotels we're looking to do in Q3, kind of ongoing right now through July and into August. Also, we progressively -- our teams on the tax side aggressively pursue appeals, and we certainly benefited from a few wins over the last quarter or so. It certainly wasn't part of our guidance before. We took a $5 million benefit in Q2, and we've also got the benefit of about $2.5 million of savings in the back half of the year against what we accrued against proper taxes previously. And then finally, we often talk to about our best-in-class risk management program and how we put a lot of emphasis on protecting our assets. We have first responder programs or first responders were assigned each property, trained along with our property operator teams to prepare for situations like hurricanes, wire leaks, et cetera. We also invest in technology to protect both the inside and outside the hotels. We make investments to harden the assets in coastal areas. And all this work and effort gets acknowledged by our insurance carriers. And so with our last renewal on June 1, we saw a decrease by 25% of our annual premiums. And so that gives us a benefit of $1 million roughly in Q2 and then another $5 million in the back half of the year. So when you put all that together, it's about $24 million of kind of bottom line benefits we've derived from all the efforts that we undertook over the last several months. I think that's how you see kind of the good flow-through pattern you're seeing.
Smedes Rose: Okay. All right. And then I guess I just wanted to ask you a little bit -- yes, go ahead, sorry.
Thomas Jeremiah Baltimore: Smedes, this is Tom. I just wanted to -- just another shout out to really Sean and to Carl Mayfield, heads of design and construction, and just -- and the team of men and women that work on the insurance side. What they've accomplished over the last several years is nothing short of extraordinary. The discipline and the amount of work we've done on the resiliency. And to get a 25% reduction, there isn't any of our peers even remotely close to that. And furthermore, no one really has the depth of experience for the embedded team internally to be able to work the way that we have. And I'm really proud and grateful. But I think all of that work in addition to the deep dive on the operating side, and particularly in this challenging environment, really shows I think the strength of the team, and again, going back to one of our guiding principles of being really an aggressive asset manager. So very, very pleased with it, and I think it shows in the results.
Smedes Rose: I wanted to ask, you mentioned kind of a slightly weaker third quarter expectations, fourth quarter getting better, partly driven that sounds like some solid group business coming online. Are you seeing a continuation of strength in the group booking side into 2026? And are there any -- particularly in markets where you're seeing relative strength or maybe relative weakness?
Thomas Jeremiah Baltimore: Yes. I would say, as we look to '26, I think, probably relatively flat right now. Not unsurprising as we look out to '27, probably up 4% to 5% right now. But key markets in '26 that look particularly strong. Bonnet Creek continues to perform well, that transformation is the gift that keeps giving and probably up 9% or more in '26 there. San Diego, up probably 53% in group pace. Chicago, up 11%. Hilton Caribe, I think, up another, up over 40%. Seattle, up double digits. So we continue to see really strong on the group side there. So it's strong there and looks very good as we look out to '27 as well. And in fourth quarter, it's particularly strong. We're not seeing any softening at all. Again, third quarter will be tougher, as Sean mentioned, as I had in my prepared remarks, down about 14%. And then obviously, the fourth quarter up about 18% group pace this in the year of 2025.
Operator: Our next question comes from the line of Duane Pfennigwerth with Evercore.
Unidentified Analyst: This is Peter on for Duane. Sean, could you maybe unpack the comment about the possible refinancing in 3Q? And what sort of options you're looking at?
Sean M. Dell'Orto: Sure. We're -- as I mentioned, we're down in the process. I won't get to too many specifics, but we're certainly working with our banks to find a capital that will kind of get us, again, the commitments that would kind of give us comfort. Obviously, as these loans go current later this year, with the ability to kind of really just draw down on them later next year when we get -- as we get close to maturity, so we can obviously push off what is going to be inevitable increases in interest as well as getting into the par prepayment windows for these loans. So that's kind of between a revolver and some other financing. We'll kind of have that -- like I said, we have the commitments and the liquidity available to address those. And they will probably, whether it's the end of this year and into next year, we'll look -- work on a second phase of this process, which will probably be something of a mortgage secured loan against Bonnet Creek to fulfill the rest of the need.
Unidentified Analyst: Got it.
Thomas Jeremiah Baltimore: Peter, this gives us the optionality of one little friction cost for other strategic things we may explore and then having both properties in Hawaii completely unencumbered. So that's one of the goals that we have through this process. So we are very confident. Sean and the team have done a great job. We're out in front. We've got great banking relationships. And so we don't anticipate any issues, and process is unfolding very, very well.
Unidentified Analyst: And just quickly on the transaction front, can you speak to maybe what kind of feedback you're getting for assets that are currently being marketed? And if possible, what sort of time line we could be working with for further announcements?
Thomas Jeremiah Baltimore: Yes. Great question. Look, it's a challenging environment. Some have used the phrase sort of frozen or stalled. I think it's an environment where we've just got to work a little harder, and we're certainly up to that challenge. I think if you think back, obviously, over the last several years, we have sold or disposed of now 46 assets or north of $3 billion. We were even selling in the worst of times during the pandemic. So we've obviously completed on asset sale, Fisherman's Wharf in San Francisco at $80 million and a multiple, I believe, at about 64x. So there's plenty of liquidity, both on the equity and the debt side. Obviously, buyers are being cautious with their underwriting and being disciplined. And we are in active discussions with a number of hotels of multiple work streams. And we're confident that we will meet our range that we've communicated from the beginning of the year of $300 million to $400 million in asset sales, obviously, using those proceeds to invest back into our core portfolio, reduce debt. And then we'll look opportunistically on potential buybacks. Obviously, we bought back approximately 3 million shares in Q1. We didn't buy back any shares in Q2. But we have purchased, we bought back about 38.5 million shares over the last 3-plus years, about 20% of our float. So we've been very disciplined about recycling capital and particularly given all of our capital allocation decisions, and we'll continue to proceed accordingly.
Operator: Our next question comes from the line of Chris Woronka with Deutsche Bank.
Chris Jon Woronka: So I guess it wouldn't really be a on a quarterly conference call if we didn't go to the Hawaii question, but I want to kind of direct it more on the citywide front, on the marketing front and the airlift front. Tom, do you think all the interested parties on the ground level, with the government and the travel people, do you think you're adequately getting enough messaging out there to get folks back and you think the airlines are any closer to adding more international flights in now?
Thomas Jeremiah Baltimore: Yes, it's a great question, Chris. Look, if you think about over the last 20 years in kind of Oahu as an example, I mean their RevPAR growth sort of outpaced the U.S. by approximately 120 basis points. If you look at sort of Key West, Hawaii, their compound annual growth rate has been about 4.5% versus, I think, the broader U.S. at about 3%. And then, of course, you've had negative -- effectively negative supply growth in Oahu over the last 20 years. And as we had in the prepared remarks, we're looking at probably about 0.3% supply growth over the next 5 years. So as we look out and having 2 world-class resorts, owned fee simple, we are very encouraged about Hawaii and long term. No doubt the ramp up after the strike is a little longer than certainly we would have hoped. We were down about 18% in HHV in Q1, about 13% Q2. We're obviously expecting probably in the 7%, 8% range in Q3, but obviously, a very, very strong Q4. Obviously, we've got favorable comps, but we've also got significant group business, 18% and about 50% in Hawaii, as an example. Airlift -- domestic airlift is obviously, I think, increased north of 20% since 2019. Obviously, with Southwest and Alaska, obviously, United, Delta. We're very encouraged on that front. So this is obviously part of the ramp-up, but we certainly see no concerns on the Japanese front, taking a little longer, they had peaked -- prior peaked at about 1.5 million. We think this year is probably going to be in the 700,000 passenger visitation range. So a little behind what we had expected. But as you sort of look out, they expect to get back to in the 1 million range by probably '27, '28. So -- but a lot of that is being replaced by certainly domestic, certainly coming out of Canada as well, as well as other international destinations as well. So we're not at all concerned over the intermediate long term. And I think it's also fair to say when you went through, Hilton Hawaiian Village was the only asset in Hawaii that had a strike. It was targeted. It was aggressive. It was a long process. We got through the process. We're all friends, and working through and aggressively working together to accelerate the ramp up.
Chris Jon Woronka: That's great. As a quick follow-up, you guys got Fisherman's Wharf done, you talked about Kansas City. If we look at the handful of other kind of noncore airport/ground lease hotels, if we isolate those, is there any way to think about how much that can add to comparable RevPAR margins or EBITDA? Just to kind of frame what that could look like going into next year?
Thomas Jeremiah Baltimore: Yes, it's a great question. And in my prepared remarks, I made the comment that if you take out sort of our noncore and just look at our core, I think, the RevPAR is about $215 and would be certainly as strong as any of our peers. Chris, we've had this conversation many times. As you know, we are laser focused on reshaping the portfolio and candidly getting down to that core portfolio and taking that overhang, if you will. We've sold or disposed of 46 assets. We've got 3 that we talked about. Obviously, today, the 2 leases that are expiring, we're not going to extend and then obviously, the give back in Kansas City. And we've got many other discussions underway. And the sooner that we can reshape and clean that up, we'd love to deal with just one cleanup trade, but the reality is every asset's got its own story with legal and tax in some cases, joint venture and other complexities. But rest assured, the team is led by Tom Morey and his great team on the investment side are working really hard to reshape the portfolio and to clean up those noncore as quickly as we can. And you can expect we'll have announcements here in the coming months.
Operator: Our next question comes from the line of Floris van Dijkum with Ladenburg.
Floris Gerbrand Hendrik Van Dijkum: Just a follow-up on the disposals. I think you mentioned 18 noncore hotels, 3 of them were ground leases. So that would appear -- so 15 left. Do you think by the end of next year, all of those hotels will be out of the portfolio? And sort of to give you a clean -- get a sense of what the clean EBITDA production will be. And then maybe if you can also -- related -- is -- do you think that '26 is going to be a year where Hawaii Village stabilizes? Or do you think it's more likely to be '27 before you get back to $185 million of EBITDA level?
Thomas Jeremiah Baltimore: Yes. Great questions. I'll take the first. Look, we'd love to have the noncore solved next quarter, as you know, for us. I think you know and other listeners how hard we've been working. I would expect by the end of next year that we have made significant, that the vast majority, there could be a straggler or 2 that remains, but we're doing everything in our power to clean up as quickly as we can. We know there's a small overhang there. We want it removed. And to get back to that core portfolio because it gives us such great optionality, and I think it really reflects the core value of the Park portfolio. As we've said, that accounts for about 90% of the value of the company. And you can see where we're investing those dollars. And we really believe that we can generate higher development yields than we can through the acquisition yields at this point. I think the great work in Orlando, I think the extraordinary work in Key West, I think, are just great examples of that of how well they've done. And you think about just Orlando being obviously listed as -- or Bonnet Creek and the Waldorf Astoria being the top hotel in Orlando, just given the complete transformation in the north of $200 million that we put in the entire complex, and then what we're seeing in terms of that outperformance. So very proud of that, very pleased with that. We really want to focus our energy, obviously, on those -- on the core portfolio. On the Hawaii front, I don't think it's a matter of if, but when. And I would fully expect that '26 would certainly be -- would be closer to that peak EBITDA range in that $185 million. Clearly, that will not occur, obviously, in 2025, but very encouraged as we look out, sequentially improving. And then obviously, we're expecting the fourth quarter to be very, very strong across the entire portfolio, but particularly given obviously the favorable comps that we have in Q4 in Hawaii.
Operator: Our next question comes from the line of David Katz with Jefferies.
David Brian Katz: I'd like to just go back and if we're double or clicking on this, I hope you'll humor me. But what I'd like to understand and just discuss Hawaii a bit. And just to unpack kind of where you are because the sort of demand dynamics are a little bit complex, and there's some work being done there, too. And we've heard some peer reports where Maui went super well for them. And I know everybody's assets are not same place and the same thing. So that's what I'd like your help with, if you can.
Thomas Jeremiah Baltimore: Yes. I think the -- I think one way, Dave, just to take another sort of step back. As I said in the last 20 years, it's certainly been among the strongest performers, both from a demand and performance standpoint. Obviously, you've got muted supply, virtually negative supply over the last 20 years. Obviously, we think over the next 5 years, it's going to continue to be muted, 0.3%. You've got -- you're coming on the heels of a really intense 45-day strike. That was not helpful during that period of time and certainly impacted demand, group pace. So that -- you can't sort of dismiss that. I don't want to use that as an excuse, but it certainly was an impediment as we came out of that as we began the year. As you look at, obviously, the demand patterns, as we've talked about, we were down 18% in Q1, down 13% here in Q2, Hilton Hawaiian Village, and then obviously down, we expect probably 7%, 8% in the fourth -- in the third quarter, and then probably up high teens plus or minus in the fourth quarter. And so very well set for there. We're not at all concerned from an operational standpoint. We also have continued to gain RevPAR index, we're up to about 102%. We were probably running [ 115, 120 ], probably prestrike. We were certainly sub 100%, obviously, coming out of the strike. So that's ramping up as well. And then you've got sort of cleanup trade. As you know, through TripAdvisor, the sooner we get through to sort of wash through, the cleaner reviews will also make the destination more attractive as well. So that also will help as we sort of look to the future. Airlift continues to grow. See Canada continuing to pick up. That's been a growth. Japan continues to lag. I mean that has been certainly a disappointment. Pre-pandemic, again, about 1.5 million. We expect this year, originally expected to be at about 770. They've sort of lowered that forecast now to about 700,000, but we fully expect to get back. They're targeting now about 1 million, probably in that 2027, 2028 range from that standpoint. So hopefully that helps, David, to give you a little more color on it. We're not at all concerned over the intermediate and long term. We think obviously, over -- again, over the long term, it's been one of the strongest performers in all of the U.S. So -- and the fact that we own both resorts, completely fee simple. We're investing significant capital and excited. And if you think about the results that we've seen with the renovated product, you can take Tapa as an example, the Tapa Tower, and we ended up getting $50, $60, $70 increase in ADR after renovating that tower.
Operator: Our next question comes from the line of Dan Politzer with JPMorgan.
Daniel Brian Politzer: I wanted to go back to the group commentary that you gave, Tom. I think you said 2026 group would be flat, 2027 would be up 4% to 5%. Can you just maybe talk about that dynamic? Has that changed, I guess, from a few months back in terms of what you're seeing? And can you kind of talk about lead volumes? Are there rotations in there? I'm just trying to get a better sense of that dynamic where it feels like 3Q came in a bit lighter on group, next year is going to be flat, but then on the other side, you have fourth quarter in 2027.
Thomas Jeremiah Baltimore: Yes. Let me try to frame kind of just the scope of it and take Q4 as an example. Yes, Q3 is a little softer, I think, about 380 basis points, so down about 14.4%. We knew that was going to be our toughest quarter. But also keep in mind, we had we had tough comps, right? We had Chicago last year, the D&C over 100,000 group room nights there. New Orleans had an incredibly stronger year. So you've got that tough comp that certainly impacts. If you look at Q4, up 18%, and it's broad-based, Hilton Hawaiian Village, up 54%. New York City, up north of 19%, Hilton Chicago, again, up 14%. New Orleans, up 11%. Bonnet Creek obviously continues to be a strong performer, up 45%. I believe Washington, D.C., up 25%; and then San Francisco, and this number is accurate, up 214%. And so again, we're not -- and we're not seeing any pullback. And if you take Hawaii out of it, as an example, we're still up 14% as we look at the group pace for Q4. So we feel very good about '25. '26, there are puts and takes there. Again, we would expect that to continue to improve. And then as we look out to '27, we're already at same time last year, we're up about 4%, 5% based on, obviously, the earlier commentary that I gave. So feel very good. Lead volumes look good. Obviously, national sales and our partners at Hilton, among others, and our operators are working very hard. So -- and again, given the renovated product and the amount of capital that we're putting in, particularly into our core portfolio, we think, obviously, we'll continue to position and strengthen those assets as we move forward. So we're very, very encouraged about group as we look out. Obviously, an accelerated economic environment and less uncertainty. Clearly, the uncertainty out there is causing some groups and business leaders to sort of pause and wait for clarity. But despite that, I mean, we're having -- we're still having, obviously, a solid year as you look at obviously, EBITDA and flows. Top line continues to be a little softer, but we're in a GDP environment. When you combine Q1 and Q2 really at about 1.2%. So probably not unexpected. It's a little choppy right now.
Daniel Brian Politzer: That makes sense. And then just for my follow-up, you guys have done an impressive job managing your operating expenses. And it sounds like a good chunk of that's in the labor line. How should we think about the expenses there this year? And then as you think about kind of puts and takes to '26, how are you kind of -- how should we think about labor expense growth as we kind of look out?
Sean M. Dell'Orto: Well, I think just given that we do have a good amount of union in our portfolio, and a lot of it went through last year in terms of agreements being negotiated. I think it's pretty consistent as you kind of think about going into '26 from a labor standpoint. A lot of the things we've done, I talked about are -- will be sustained, we believe, and we're certainly going to be -- team will be very focused at during the budget process. There are some -- you obviously got a Royal Palm coming back online. That will be the adjustments that we're already making this year as well. So that will be a kind of a put and take to consider. I think kind of on the whole, I think we kind of see just continued kind of labor benefits growth kind of in that 4%, 4.5% range.
Operator: Our next question comes from the line of Cooper Clark with Wells Fargo.
Cooper R. Clark: On the Royal Palm, I appreciate the confidence on executing there from a timing perspective. Just wondering how we should think about the ramp-up on that asset sequentially come 2026 in terms of your underwriting assumptions? And how much of that is driven by expected demand from the World Cup games in early to mid-June?
Thomas Jeremiah Baltimore: Yes. Let me take the first part of it. We are really excited about this transformation. It's bull's eye real estate, well located, obviously, in South Beach. We've studied it carefully, $103 million investment. We think the internal rate of return unlevered 15% to 20%. And we've said in my prepared remarks about doubling EBITDA. If you think about RevPAR, pre-renovation was about $265, and you look at all of the ultra-luxury that exists in South Beach and from the [ Albers ] that's in the works. Obviously, the [ Rosewood ], the [ Aman ], the [ Andaz ] recently done. And then for as you go further up the sort of North Miami Beach and the Four Seasons, St. Regis and others. And the kind of rates there, we've really underwritten this at inside of $400. And at that level, are confident that we can certainly double, obviously, EBITDA to the $27 million, $28 million range we've communicated. Obviously, you're opening in May, you're sort of late into the season. Obviously, we want to certainly be there for the World Cup, which will be significant. But we certainly don't expect that we'll be double EBITDA, even half of that, given the fact that we're opening in that May time frame. Sean may have some additional thoughts and comments to share on that.
Sean M. Dell'Orto: No, I would concur what Tom -- you're missing the peak season, obviously, you get a little bit of benefit from -- we expect from the World Cup coming through kind of in the low season time frame. But I would say that we probably won't generate kind of EBITDA for '26 relative to where it was before. But obviously, we expect that to kind of really grow towards that double, call it, high 20s EBITDA as we approach '27.
Cooper R. Clark: Great. And then just a follow-up on some of the CapEx projects. Just curious, following the Royal Palm, what the timing is on sort of the next big project? You spoke to some renovations in Hawaii next year where you have a good track record on execution. But just wondering kind of the next big project and what's the right way to think about rental disruption long term, what's the CapEx spend?
Thomas Jeremiah Baltimore: Well, it's a great question. The next phase last year, next year will be obviously the third phase in New Orleans and finishing that tower. We'll continue to look at Ali'i Tower in Hawaii, smaller tower, but certainly renovating that as well. We've been really laser- focused on putting capital back into those core assets. And obviously, again, we're confident that we can deliver higher development yields than we can -- acquisition yields at this point. We are going to study New York, and look at the timing of potential renovation there, but I certainly don't see that being in '26. But there'll be more to follow in the future as we obviously complete our current pipeline of the ROI projects.
Operator: Our next question comes from the line of Robin Farley with UBS.
Robin Margaret Farley: I wanted to ask about 2026, you mentioned that labor costs might be up about 4% to 4.5% next year. This year, you've done an amazing job of other offsets between insurance and maybe some tax credits. And I guess, are there other levers for 2026 that we should think about? How you could offset that higher wage level next year?
Thomas Jeremiah Baltimore: Yes. Let me make one observation, Robin, and then Sean can jump in. I don't think it -- just think about wage rates and where people thought. And obviously, given the fact that we do have some union operated in, and I think very fair and equitable deals with our labor partners, again, a credit to our operators in negotiating those. But in that 4% to 4.5% range, we don't see that really being out of bounds. And again, to our asset management team, Joe P. and Sean and the team and the amount of work that we're doing just line out in those deep dives. We remain very, very confident in the team's ability to continue to take cost out of the business and to think about it differently. And candidly, advances in technology. We think that there are going to be opportunities through technology to continue to find different ways to be more efficient, and whether that's sales and marketing, the guest experience. I mean we've all got to be thinking about how we can respond to those customer needs, but also taking cost out of the business given the operating model. So I know our peers have talked about that are working on it, and it's certainly an area that we, too, are spending time, and we're also including encouraging our -- the brands and our operators to continue to think out of the box as well.
Robin Margaret Farley: Great. No, that's super helpful. And then also, you talked about addressing some debt maturities. Do you need that $300 million to $400 million of asset sales to be completed before we're likely to see the maturities addressed? In other words, there's a lot of your negotiations currently sort of contingent on those asset sales happening?
Sean M. Dell'Orto: No. I guess the short answer is no, Robin.
Thomas Jeremiah Baltimore: Yes. Robin, we are -- we enjoy great banking relationships, and I just remind some of the listeners, think about during the pandemic. We did 3 bond deals. We pushed out maturities. We paid back all of the banks, plus everybody earned fees. We have no shortage of banks that want to work with us. A huge credit to Sean, his leadership and the team, and very confident that we will get this done in the third quarter. And again, we don't -- if they're not at all dependent on those asset sales.
Robin Margaret Farley: Okay. Can I squeeze in a tiny clarification on Hawaii, if that -- if you don't mind one more line on Hawaii. Just when you were calling out group. So flat for next year overall, but you mentioned -- you called out a number of hotels where it was up significantly. I was surprised that Hawaii wasn't in the sort of '26 thing up significantly versus '25 given the sort of challenging '25 Hawaii has had. Is that -- was that just -- do you think it will be up, just didn't happen to mention it on that list? Or is there still sort of ongoing group issues in Hawaii?
Thomas Jeremiah Baltimore: Hawaii has a smaller percentage. So -- but we don't expect.
Sean M. Dell'Orto: I mean I would say too, you got -- you're up 50% in Q4. We'll lap that. The convention center is shut down for renovation, which will impact '26 in terms of at least convention-related type of business. So there's a few things going on that will kind of have to. As Tom noted, though, it's not obviously a major part of that demand for that asset.
Operator: Our next question comes from the line of Ken Billingsley with Compass Point.
Kenneth G. Billingsley: I wanted to ask about visitor spending. It looks like overall total RevPAR growth has been stronger than hotel RevPAR. Can you talk about where they're spending their dollars out of the room? And any near-term concern just given market conditions?
Sean M. Dell'Orto: Sure. I think for one, on the group side, banquet and catering continues to be a strength, inclusive of audiovisual, the group set that we still see strong performance, certainly the in-house groups in their spending related to banquet and catering, which catering contribution was up 5% in Q2. And again, looking against prior forecast, and there's a number of things that we look at and have seen some, obviously, some deterioration, I would say, this is one thing that we're not seeing, which is going continue to strengthen spend on that side. Outlets, roughly have about 1.5% in Q2, helped by things like Casa Marina was up 18% year-over-year with the help of the addition of El Dorado restaurant and nice oceanfront restaurant. So you're seeing enough spending and sufficient spending in the outlets, especially in the resort areas. Parking was up 9%, continuing a strong trend along with some ancillary fees that we continue to kind of be -- evaluate the market and increase things like facility fees and whatnot, those are up 6% in June, expect them to be up 5% for the year. So yes, I would say, overall, across the board, we've got some healthy out-of-room spend across the portfolio.
Kenneth G. Billingsley: And to follow up on that, specifically, I know urban RevPAR was strong, bright spot in the quarter. But it looks like total RevPAR for this group has had softer growth. In fact, almost like a decline. Can you talk about maybe what's going on the urban side with out of room spend?
Sean M. Dell'Orto: I don't necessarily think it's dramatic. I would have to get back -- we'd have to look at that. I don't have that in front of me as to kind of where we're seeing some of that softness that you're talking about.
Operator: We have no further questions at this time. I'd like to turn the floor back over to management for closing comments.
Thomas Jeremiah Baltimore: Well, we appreciate everybody taking time, and we look forward to seeing you at upcoming conferences, and we hope you have a great summer. And please note that the team at Park continues to be laser-focused on our strategic priorities, and excited about Q3, Q4, in closing out 2025 on a high note.
Operator: Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation, and have a wonderful day.